Operator: Good afternoon. My name is Catherine, and I will be your conference operator today. At this time, I would like to welcome everyone to Trinity Capital's First Quarter 2022 Earnings Conference Call. Our host for today's call are Steve Brown, Chairman and Chief Executive Officer; Kyle Brown, President and Chief Investment Officer; David Lund, Chief Financial Officer; Michael Testa, Chief Accounting Officer; and Sarah Stanton, General Counsel. Gerry Harder, our Chief Operating Officer; and Ron Kundich, Chief Credit Officer, are also present. Today's call is being recorded and will be made available for replay at 8:00 p.m. Eastern Time. The replay dial number is (800938-0997 and no call ID is required for access. [Operator Instructions]. It is now my pleasure to turn the call over to Sarah Stanton. Please go ahead.
Sarah Stanton: Thank you, Catherine, and welcome, everyone, to Trinity Capital's Earnings Conference Call for the first quarter of 2022. Trinity's first quarter 2022 financial results were released today after market close and can be accessed from Trinity's Investor Relations website at Ir.trinitycap.com. A replay of the call is available at Trinity's web page or by using the telephone number provided in today's earnings release. . Before we begin, I would like to remind everyone that certain statements that are not based on historical facts made during this call, including any statements relating to financial guidance, may be deemed forward-looking statements under federal securities laws. Because these forward-looking statements involve known and unknown risks and uncertainties, there are important factors that could cause actual results to differ materially from those expressed or implied by these forward-looking statements. We encourage you to refer to our most recent SEC filings for information on some of these risk factors. Trinity Capital assumes no obligation or responsibility to update any forward-looking statements. Please note that the information reported on this call speaks only as of today, May 9, 2022. Therefore, you are advised that time-sensitive information may no longer be accurate at the time of any replay listening or transcript reading.  With that, allow me to introduce Trinity Capital's Chairman and CEO, Steve Brown.
Steven Brown: Thank you, Sarah, and thank you to everyone joining us today. As you saw in our earnings release this afternoon, we continue to build on the momentum we established in 2021 with another record quarter for fundings in this first quarter of 2022. While we drove exceptional portfolio growth and remain committed to executing against our long-term growth initiatives, we are fully aware of the changing economic environment and we'll continue investing with the same stewardship we have demonstrated since we first began investing in 2008. We've continued to improve our operations, scale our business and further broaden our extensive network in both the VC and equipment financing industries. Thereby allowing us to deliver returns for our shareholders with strong net investment income performance and significant realized gains. We continue to strengthen our balance sheet after quarter end with a $57.5 million common stock offering in April that was accretive to NAV and an expansion of our credit facility. . Public market volatility, rising interest rates, inflation and geopolitical uncertainty has so far set the backdrop for 2022, but we still see immense opportunity. Deal flow is moving steadily and Trinity continues to generate strong originations. Our business remains strong and our rigorous and consistent underwriting process ensures that our portfolio is built for any cycle. Trinity is well positioned to capitalize on opportunities in the emerging growth venture debt market as an industry leader and partner of choice for management teams. While the team will go into greater detail on the first quarter results, I wanted to share just a few of the key performance highlights.  Our growing portfolio contributed to strong operating performance in Q1, allowing us to declare a quarterly dividend of $0.40 per share an increase of 11% above the prior quarter. This is the fifth quarter in a row that we have increased our dividend. In March, we also announced a special distribution of $0.15 per share distributing spillover income from 2021. As we have previously stated, our Board has indicated its intent to declare equal special dividends in each of the subsequent quarters of 2022 for a total of $0.60 per share in special dividends for 2022, subject to further board approval.  We recognized $52.6 million of realized gains during the quarter. Primarily from the sale of our equity positions in Lucid and Matterport. We delivered a strong quarter in both commitments and deployments originating $305.6 million in new commitments and funding $222.5 million in gross deployments across 31 portfolio companies. Q1 net investment income was $15.6 million or $0.57 per basic share, exceeding our declared regular quarterly dividend by $0.17 per share.  Our credit quality in the portfolio remains strong with 98% of our debt investments at cost performing. Subsequent to quarter end, we strengthened our liquidity position by selling $57.5 million of our common stock and we upsized our KeyBank credit facility by $100 million to a total capacity of $400 million.  Collectively, these moves increased our capacity to fuel our growth. Additionally, we announced the promotions of 2 senior executives as well as a key hire in our new life sciences vertical, demonstrating our commitment to investing in our team and supporting the continued growth of our industry-leading lending platform.  Trinity's innovative energetic and collaborative culture continues to be a differentiator in attracting and retaining top talent in our industry. Kyle will provide more color on this in a moment. With regards to the RIA progress, we have stated previously in Q3 of 2021, we filed an application with the SEC for exemptive relief to form a registered investment adviser. If approved, we believe the RIA will provide flexibility for synergistic investment opportunities and create additive earnings for our internally managed BDC. The review process is still within our expected time line and we continue to work with the SEC on their review of our application. Despite the long predicted shift in the public markets and the IPO window essentially shut, the VC operating market remained healthy with BCs adding $70 billion to the existing $230 billion of dry powder according to PitchBook, which may help lessen the impact of the general market downturn.  In spite of the current market conditions, Trinity continues to perform at record levels. Our business, our team and our portfolio companies are growing at a stable, yet healthy rate. I have confidence in our unique venture lending and equipment financing platform's ability to generate meaningful growth in any economic cycle. We've strengthened our team to further that performance and will maintain a deliberate and disciplined approach to offering capital solutions to the growth stage companies across industries. With that, I will now turn the call over to Kyle Brown, our President and Chief Investment Officer, for some further thoughts on our progress and more detail on the market. Kyle?
Kyle Brown: Thanks, Steve, and good afternoon, everyone. Q1 marked the eighth consecutive quarter of portfolio growth, proving that we are sustainably building for scale. This is no small feat and a reflection of our hard working and dedicated team here at Trinity. Everything we do is sent around our unique team, our culture of continuous learning, our entrepreneurial spirit keeps our business at the forefront of technology and innovation. We believe the best return on investment is the investment we make in our own people. Turning now to our results. Our impressive originations continued in Q1 with $305.6 million in new commitments, representing an increase of 23.3% from Q4 of 2021. We funded approximately $222.5 million of new investments, leading our portfolio to grow to $921.1 million on a cost basis, an increase of 15.4% over Q4 of 2021.  Our $222.5 million of deployments during the quarter reached 31 portfolio companies, including $103.9 million in gross deployments to 10 new portfolio companies and $118.6 million in gross deployments to 21 existing portfolio companies. Gross deployments were partially offset by $96.5 million in principal repayments of which $69.7 million was from early repayments and $26.8 million was from normal amortization. During the quarter, refinancings of existing portfolio companies accounted for $29.4 million of the early repayments. We also received $62.3 million in gross proceeds from equity and warrant liquidations. We finished the quarter with $277.3 million of unfunded commitments, giving us good visibility into funding opportunities over the next 12 months.  The composition of our portfolio remained relatively consistent with manufacturing, once again, making up approximately 1/4 of our total portfolio. Professional Scientific and Technical Services made up 22.2% and followed by information making up approximately 10%. Diving deeper into our portfolio composition at fair value, approximately 76.1% of our debt portfolio or $649.5 million is comprised of secured loans and 23.9% or $204.3 million is invested in equipment financing. This represents a slight percentage decrease in equipment financing from Q4 2021. But as we have said in the past, equipment financing deals generally fund over subsequent periods, to the commitment data and will fluctuate quarter-to-quarter.  The balance of our portfolio, approximately $65.5 million at fair value is comprised of equity and warrants. The $72 million decrease in our equity investments from the fourth quarter is driven primarily by the sale of our equity investments in Lucid and Matterport. We believe we are a destination company attracting and retaining top talent. We recently welcomed to the team of veteran and Adventure ecosystem, Robert Lake, as Managing Director of Life Science. Rob has been in supporting venture capital back growth stage companies for over 18 years, primarily in the life sciences industry and has funded over $1.6 billion in debt transactions during his career.  He will be a valuable member to our team as we continue to grow and expand our portfolio. Building a best-in-class tenured leadership team remains a key priority for our team. Along with hiring top-notch individuals, we are also focused on developing our own talent and creating a leadership -- the leadership team for the future as demonstrated by the promotions of 2 senior executives in Q1. Gerry Harder has been promoted from Chief Credit Officer to serve as the company's first Chief Operating Officer. Where he will steward corporate infrastructure and operational initiatives to support platform growth and new business creation. Ron Kundich who formerly served as Senior Vice President of loan originations has been promoted to Chief Credit Officer, succeeding Mr. Harder in the role.  In his new role, Mr. Kundich will oversee Trinity Capital lending, underwriting and credit processes. These promotions demonstrate our commitment to investing in our own people and building our business for tomorrow. The public market slowdown, we've been anticipating resulting in a decrease in M&A and IPO activity compared to previous quarters. As of today, May 9, 2022, 2 portfolio companies, Greenline IO and -- successfully completed their D SPAC transaction in Q1, while footprint in Presto continue moving towards their own D SPAC transactions.  I'd like to emphasize that we have always been a direct lender first and foremost. And while we have certainly benefited from our equity and more positions in the very high venture capital ecosystem in 2021, we have not been dependent on it for our success. As demonstrated by our strong net investment income. Our vision has been to build the world's #1 lending platform for growth-stage companies with a diversified portfolio, many and multiple product offerings, we're well on our way to fulfilling that objectives.  Now I'll turn the call over to David Lund, our Chief Financial Officer, to discuss our financial performance in more detail. David?
David Lund: Thank you, Kyle. We appreciate everyone taking time to listen in to today's call. To echo Steve and Kyle's comments on Trinity's continued strong performance against the current market backdrop, our financial discipline is a significant contributor to our continued performance. Not only has our underwriting process been consistent and effective, but we have also strengthened our capital structure ahead of these long anticipated headwinds and -- our debt portfolio, which is now 59.6% floating rate compared to 32.1% a year ago, is well positioned as interest rates rise. . On the borrowing side, approximately 74% of our outstanding debt at the end of the first quarter was at fixed rates. In addition, we recently increased our capacity under the credit facility with KeyBank by $100 million to a total of $400 million and also increased the availability by $75 million bringing total availability to $275 million. As we discussed in our 10-Q filed today, a 100 basis point increase in the prime rate would have the effect of adding $2.5 million or approximately $0.08 per share to our annual net investment income. So the 50 basis point increase announced last week should have a positive impact to our future earnings. We anticipated and successfully prepared for a changing market, which push us on a solid financial footing for the quarters ahead.  Diving into our financial and operating results for the first quarter, we recorded total investment income of $31.8 million and $8.2 million or 34.9% increase over the $23.6 million of total investment income recorded during the fourth quarter of 2021. and an increase of 83.9% compared to the same period of 2021. This increase was attributable to higher interest income of $6.9 million on a larger loan portfolio and $1.3 million of higher fee income compared to Q4.  Our effective yield on the portfolio for Q1 was 16.3%, an increase of over 100 basis points from Q4, primarily driven by higher interest income and amortization of OID based on the larger portfolio as well as increased nonrecurring fee income, which fluctuates based on investment activity and early repayment activity. We expect our early repayments to be between $45 million and $50 million in Q2 and our effective yield to normalize between 15.2% and 15.5%. We incurred a total of $6.8 million of total interest expense and amortization of deferred financing costs on our various debt facilities as compared to $6.2 million in Q4.  The increase was primarily driven due to the issuance of the December 2026 notes in December of 2021 as well as the higher average outstanding balance on our KeyBank facility.  For Q1, our weighted average cost of debt, including interest and fee amortization was 5.9% compared to 6.7% in Q4. The decrease was due to the lower cost of our December 2026 notes and lower amortization expense with the maturity of our prior credit facility with Credit Suisse. Our operating expenses, which are comprised of compensation, professional expenses and general and administrative expenses were approximately $8.8 million during Q1 as compared to approximately $6.8 million during Q4.  The increase of approximately $2 million or 30.2% was driven by increased compensation expenses related to higher headcount and variable compensation and higher D&O expense. We are investing in our team and believe that our new senior level promotions and hires will benefit our bottom line. As a result of this operating activity, net investment income for the first quarter was $15.6 million or $0.57 per basic share as compared to $10.6 million or just $0.39 per basic share in the preceding quarter. We recorded net unrealized depreciation of $77.3 million attributed primarily to the flip from the unrealized depreciation in our equity portfolio tied to our positions in loose and Matterport as we sold our equity positions in these companies during Q1. This was offset by net realized gains of $52.6 million in Q1, again, largely attributed to realizing gains from our equity positions in Lucid and Matterport as well as other realized gains in our equity and warrant portfolios.  The difference between the unrealized appreciation and our realized gains solely unused in Matterport, of approximately $19 million was attributable to the drop in the public stock price between the valuation date at December 31, 2021, and the price at which we were able to eventually sell the shares after the respective lockup periods ended, while we have been fortunate to capitalize on the recent strong performance from companies in our portfolio to generate shareholder returns, we are not equity investors, and we will generally sell our equity positions as soon as it is practical to do so.  Net assets decreased by approximately 5% to $424 million or NAV of $15.15 per share compared to Q4 net assets of $446.5 million or NAV of $16.40 per share. The quarter-over-quarter decrease of $1.25 per share and NAV was primarily the result of the aforementioned flip between unrealized depreciation and realized gain, $5.8 million of unrealized appreciation and the impact of additional shares issued under our restricted stock and DRIP programs slightly offset by the net investment income that exceeded both our regular and supplemental dividends.  Our NAV per share grew robustly on a year-over-year basis, increasing by $1.46 per share compared to the first quarter of 2021. Despite a challenging market, Trinity has maintained its financial and underwriting discipline, which has allowed us to continue growing our originations and portfolio. I will now hand the call over to Mike Testa, our Chief Accounting Officer, who will discuss our credit performance, liquidity and capital allocation efforts. Mike?
Michael Testa: Thanks, Dave. To begin with credit quality, our portfolio continued to perform through the first quarter of 2022 with over 90% of our portfolio performing. We currently have 3 portfolio companies on nonaccrual with a carrying cost basis of $17.2 million and a fair value of $4 million, representing just 0.5% of the fair value of the debt investment portfolio. Our average credit rating for the first quarter improved slightly to 3.1% based on our 1 to 5 rating system with 5 indicating a very strong performance.  Moving to liquidity. Available liquidity as of March 31, 2022, was approximately $94.7 million, including approximately $28.7 million in unrestricted cash and cash equivalents and a borrowing capacity of approximately $66 million under our credit facility, subject to existing terms and conditions. Subsequent to the first quarter, we announced a pair of positive updates to our capital structure that enhance our [indiscernible]. First, on April 5, we announced an offering of our common stock, which generated $50 million in gross proceeds as well as an additional $7.5 million from the exercise of our underwriting -- underwriters overallotment option.  Second, we upsized our KeyBank credit facility by $100 million, raising the total size of this facility from $300 million to $400 million. The stock offering and credit facility upsize reflect the confidence our investors and lenders have in our business to continue to drive home -- drive income and the strength of our venture debt portfolio to perform through market fluctuations. Our leverage increased approximately 120% from 104% in the fourth quarter and prior to the equity raise we completed in April.  As a reminder, we have communicated that our target leverage ratio is between 115% and 135%, depending on the timing of investment activity. Regarding our efforts to maximize returns for shareholders. On March 15, 2022, our Board declared a cash dividend of $0.40 per share for the first quarter of 2022, representing a 11% increase from [indiscernible] as well as a $0.15 per share supplemental dividend to partially distribute spillover income earned in 2021.  Both dividends were paid on April 15, 2022. Our GAAP net investment income generated coverage of approximately 143% of our regular dividend for the quarter. We anticipate declaring both our regular core dividend and a $0.15 per share supplemental dividend for the second quarter of 2022, subject to our Board's approval.  Finally, our net investment income and realized gains in Q1 combined with our earnings spillover from 2021, have generated earnings spillover at the end of Q1 of approximately $73.2 million or $2.62 per share -- our outstanding shares at the end of the quarter. This spillover allows us the opportunity to continue to make investments in our portfolio and generate additional returns for our shareholders as well as consider additional investor distributions.  The sentiments of my colleagues, Trinity is on a strong operational and financial footing as we head into the second quarter. Our resilient portfolio and expanding liquidity has fueled us for further growth in the quarters ahead. With that, I will now open the line up for questions. Operator?
Operator: [Operator Instructions]. We'll take our first question today from Ryan Lynch with KBW.
Ryan Lynch: First 1 just has to do with kind of the environment today in the venture capital ecosystem. How would you describe it as a whole, both being a manager of a bunch of venture backed loans, which are obviously valuations have come down in a lot of the space, certainly in the public markets, it's going to transfer to the private markets, but also as a manager who's looking to deploy additional capital in this environment. So can you kind of -- I think 1 would obviously be, I think, pretty negative and will be positive. So how would you just describe the environment as a whole today?
Steven Brown: Yes. Thanks, Ryan. This is Steve. We've talked about this before, but I think the environment where valuations are being repriced in the BC market is not necessarily a negative for our model and for Trinity. We've seen that throughout the years. And even though valuations get repriced down, down rounds occur where there's a new commitment to our portfolio companies, which ultimately allows us to get repaid. So clearly, there's a repricing going on in the B.C. world. But then the other thing that we look at is the dry powder. And I mentioned that in my remarks, there is a lot of dry powder available right now for the right portfolio companies in the BC sector. And as you know, we have been working hard to ensure that we've got those portfolio companies in our portfolio. So I think, generally speaking, the downward trend in pricing or the downward trend in valuation is not necessarily a negative. And we certainly see capacity with the VCs to continue to support. And then Kyle, maybe you just touch on the positive side of it, which is the opportunity that is presented in this kind of market?
Kyle Brown: Sure. Yes, we believe that companies that are continuing to grow at a rapid pace, who have the ability to and have the right financial backing, we'll continue to get funding. Companies that have the ability to kind of see around the corner towards profitability They'll continue to get stacking. And then there are, with the reset of valuations, there are going to be very mature companies that are growing right in with the metrics that we're looking for that simply need an additional 6 to 12 months of runway to continue to achieve those milestones to continue to achieve that growth and make sure that they're not subject to a dilutive down round just because of where the market is at. There will be some really interesting opportunities for very strong companies who maybe are looking for a debt bridge that maybe weren't looking for that before. So there's some market volatility there, but out of it, there's also some opportunity.
Ryan Lynch: Okay. That's helpful backdrop. David, I had 1 for you. It looked like the portfolio had some additional write-downs in it outside of just the reversals from Lucid and Matterport. Can you describe what was the nature of those additional write-downs were they mark-to-market adjustments in any changes in the market? Or was there a specific credit or 2 that kind of grow those additional write-downs?
David Lund: There were two portfolio companies that we took small write-downs on during the quarter, mark-to-market and some of it just judgmental. So the rest of the portfolio was pretty stable, but we did have 2 adjustments in that category.
Ryan Lynch: What were those two companies?
David Lund: Yes, Ryan. So the two companies we have One has been on nonaccrual, that's store intelligence. We took a small unrealized depreciation within the quarter. Second, credit is actually 1 of our control positions, work well, prevention and care moved from watch lists into nonaccrual, and we took a small unrealized depreciation with that 1 as well.
Ryan Lynch: Okay. And then just my last question. You mentioned this in your prepared comments, but you guys hired Rob late to get into the life sciences space. Can you just talk about what he brings and what that looks like from ramping up? Because that's not a sector you guys have been super active in the past. So I would just love to hear any sort of time line that we should expect before you guys can be active in that space? Do you need to hire out a team? Can you be active today? Does you need to get more integrated? Just wanted that looks like going forward.
Kyle Brown: Yes. We're really excited to bring Rob on board. He's built multiple teams within the life science industry at Oxford and Bridge as well. We've said this over and over again. We intend to be a #1 lender in the space and the venture back growth stage space in life science is part of that. And what we intend to do is continue to focus on companies that are raising institutional capital who are well into revenue. We're looking to underwrite and take execution risk, not any different than what we do on our tech side. And so as we step into this space more and more, we're going to make sure we bring on professionals who have been there and done that. And then we're going to make sure we're not taking technology risk, FDA risk, et cetera. We're going to focus on taking execution risk. Gerry, do you want to add anything else to that?
Gerald Harder: No. It's well stated, Kyle. Now we've got a strong leader on board and Rob. And our focus has now turned to building out the remainder of that team, building on our business model and our credit policy. We're going to do it thoughtfully to Trinity Way. And as Kyle said, we'll be focusing on those growth stage opportunities just like we are doing in tech lending. .
Operator: We'll take our next question from Finian O'Shea with Wells Fargo.
Finian O'Shea: Hi, everyone. Good afternoon. Can you give us some color on the VF Photon. I hope I'm pronouncing it right, deal post quarter. It looked like you brought in a partner I'm not sure if you've sold down and syndicated in the past. But if that's the case, was there a sort of fee or on top of the loan and if you can describe the nature of the partner if it's a like-minded lender or bank or LP, any color you could give there?
Steven Brown: Well, I don't know that we had a partner on that deal, Finian. Just shaking our heads going. I don't think we did a partner on that deal. That's just the trinity position. .
Finian O'Shea: Okay. I could be reading that wrong, of course, ecologies. I guess second question. Can you give us any context on how we should model compensation, what are the sort of drivers? Is it origination? Is it assets? Is it performance? That moved up a couple of million quarter-to-quarter and trying to figure out where to go from here?
David Lund: Yes, this is Dave. We added 7 people in the quarter and had some promotions as well. And we also had some supplemental bonuses. I think what you see is for this quarter is probably a good run rate at this point. We will add people during the course of this year. So it will tick up a little bit depending upon those people. But I think the first quarter is kind of a good proxy to the remaining year. .
Finian O'Shea: Okay. So that's the run rate for this year or as a percent of the asset base going forward?
David Lund: Yes. That's a good basis for the remainder of 2022, trying to tell you what 2023 would look like would be something I couldn't really give you good clarity on. But I think it's a good proxy for the rest of this year.
Finian O'Shea: Okay. And did the performance of last year, obviously, Lucid was a big hit. Was that a big driver there if you're able to sort of give any color or meat on the bone on how much performance plays into the rewards and so forth. Does -- I ask because we probably won't see something like that this year with how the markets are playing out so seeing if that will sort of be a headwind on compensation?
Steven Brown: Yes. We did, with the approval board, put a plan in place to have kind of a long-term incentive program that will cover the next 7 quarters for our employees. It's kind of a retention as well as a bonus, based on the performance of really what happened in this first quarter, we had a stellar performance, and we had $52 million of realized gains. There are not many BDCs that can point to that type of performance. So we did put a retention program in place for over the next 7 quarters. But again, that's subject to approval quarter-to-quarter based on ongoing performance of the company. .
Operator: [Operator Instructions]. We'll go next to Christopher Nolan with Ladenburg Thalmann.
Christopher Nolan: In terms of setting the dividend, should we be looking at the $0.40 as a consistent base dividend going forward?
David Lund: It will depend upon, obviously, the performance each quarter that we have. And certainly, that's a target. We don't raise our dividend without the expectation that, that would be the run rate. So I think that that's probably a reasonable expectation, at least through the rest of this year, and it may go up if performance continues to be as stellar as it has been.
Christopher Nolan: Okay. And then given the growth rate that you guys are looking at given that your stock trades at a premium, is the increase in the credit facility just sort of just some insurance. It seems like to me that you guys have flexibility either to raise fixed rate debt or more equity. I mean what are your thoughts going forward in terms of increasing capital?
David Lund: It provides liquidity on kind of almost a just as needed basis. We are growing the portfolio. We do use that as something of a warehouse, then look to fixed rate borrowing if the market allows and maybe even a securitization at some point in time, but we do use it to fund the continued growth of the portfolio.
Christopher Nolan: Got it. And final question, nonaccruals. I guess store intelligence and utility associates. What's the third company in nonaccrual?
Steven Brown: The third one is, yes, the third 1 is WorkWell. And just as a reminder, the utility, that's simply an unsecured financing that was brought into the BDC at formation. So it's a performing company. But -- it's a paid-in-kind interest without a security interest. So we carry that on nonaccrual and have since inception.
Christopher Nolan: Okay. Because I'm looking at the queue and Work Well, not marked as nonaccrual on the scheduled investments.
Steven Brown: It's a nonaccrual in, it should be.
Operator: We'll go now to Casey Alexander with Compass Point.
Casey Alexander: I'm sorry. At 1 point in time, during the prepared remarks, got distracted a little bit. I didn't hear the explanation regarding the material exit fee earned in the quarter. Can you go over that again for me, please?
David Lund: In particular, we had an exit fee for, and we earned $1 million as a result of our investment and they're actually raising capital and becoming public. So upon completion of their D SPAC. So there was a $1 million pop that we received in the quarter.
Casey Alexander: So that was just -- that was around $0.03 a share.
David Lund: Yes, just 3.5%, right in there.
Casey Alexander: Well, I missed what you mentioned that was worth $0.08 a share. I apologize. I mean.
David Lund: Yes, no worries. The increase in the interest rates, if they go up 100 basis points with the Fed on the -- and it would be worth about $0.08 in additional net earnings between our portfolio increase as well as the cost on our debt. The net effect would be about $2.5 million or a $0.08 on the year.
Operator: [Operator Instructions]. And it does appear that we have no further questions in queue at this time.
Steven Brown: All right. Well, thank you all for participating in the call. We appreciate your attendance here. We're working hard on your behalf, and we'll continue to do so in good markets and in bad to provide the best return for our shareholders. Thank you for participating today.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.